Operator: Good morning, everyone, and thank you for waiting. Welcome to Banco do Brasil Fourth Quarter of 2017 Earnings Conference Call. This event is being recorded. And all participants will be in a listen-only mode during the company's presentation. After this, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] This conference call is also being broadcast live via webcast through Banco do Brasil website at www.bb.com.br/ir where the presentation is also available. The replay of the conference call will be available through the phone number +5511-2188-0400 in English and Portuguese. To access the replay, you must ask the operator to listen to BB's conference call. Your identification will be required. Participants may view the slides in any order they wish. Before proceeding, let me mention that this presentation may include references and statements, planned synergies, estimates, projections and forward-looking strategies concerning Banco do Brasil, its associated and affiliated companies and subsidiaries. These expectations are highly dependent on market conditions, and on the performance of domestic and international markets, the Brazilian economy and banking system. Banco do Brasil is not responsible for updating any estimate in this presentation. With us today we have Mr. Paulo Rogério Caffarelli, CEO; Mr. Bernardo Rothe, CFO; and Mr. Daniel Maria, Head of Investor Relations. Mr. Caffarelli, you may now begin.
Paulo Rogério Caffarelli: Good morning to all. Thank you so much to take part of this meeting with us today. For me, it's a pleasure to be here. What we are presenting today is the consolidation of our effort to provide Banco do Brasil with the strength and dynamism required to operate in a highly competitive and disruptive market. Banco do Brasil needed to adapt to be competitive and need to be most resilient, therefore by announcing the 2017 results, 54% higher than in 2016 and the best adjusted net income since 2012. I cannot do this without acknowledging the work of almost 100,000 employees that I am proud to be part of. Moving from our profitability of 8.8% in 2016 to 11.3% in 2017 requires conviction and perseverance. Conviction that we have everything we need to occupy our space in the market, live up to our customer expectations, and to do our best to guarantee increasing returns to our shareholders, perseverance to overcome obstacles and turn challenges into opportunities. This was the basis of our work in 2017 and will continue to guide us through 2018. I need to tell you that 2018 for us will be even better than was 2017. I do believe and I repeat that Banco do Brasil size must be adequate to reach ability to then generate results. Only through this way we have been able to fulfill our purpose of taking care what matters to our customers, employees, shareholders and to our Brazilian society. All that was made in 2017 by combining, first of all, increasing gross credit disbursements, for example, 81% in the individuals portfolio, 31% in companies and 11% in agribusiness; continuous improvement in our asset quality. The delinquency ratio reached 3.74% in the last quarter of 2017, confirming the trend of improvement that we have been disclosing to you. Let me remember you that in the second quarter, the delinquency was 4.11%. The third is reduction of 20% in provision expenses, 3.1% decrease in the administrative expenses, 9% increase in fee income, cost-to-income ratio improvement moving from 39.7% in 2016 to 38.1% in 2017. With that said, we are not only reinforcing our commitment to achieve 9.4% in Common Equity Tier 1 in 2019 likely required by Basel III, as I also announced that we will keep at least 11% in CET 1 in 2022. But I can even look further to reach 12%. This is our challenging [but good as you] [ph], but it depends on our credit portfolio. I believe in the path we are leading, the relationship model we're pursuing with our customers allows [ph] modernity, convenience and innovation. We are investing heavily in specialization and customer segmentation. We began the year by announcing the expansion of nearly 1,300 relationship managers in our branches who are focused on segments such as individuals, very small and small companies and also agribusiness. In the first half of 2018, we will open 85 new Exclusivo offices and Estilo branches. We finished the year with 4.6 million high-income clients, of which 2.54 million are already in digital models. This means more business these customers served by this model are more likely to consume products and services. We can realize that the improvement of the return is between 22% and 44% in this situation. We will also open another five very small and small companies specialized offices and 46 Empresa branches, reaching a total of 168 units until December. We want to offer our customers an experience that goes beyond the banking relationship to which we were used to. We are investing in segmented specialization and alternative channels to bring innovation and convenience to our clients. Yesterday, for example, we made available to a group of selected clients access to something completely new. We have built with Facebook and IBM, a solution that will allow our customers to do banking transactions basically on Facebook by using artificial intelligence. The idea is to introduce the banking solution in the space where the customer is used to navigate. In terms of macro, we expect the economy to keep on the recovery path started in 2017, and the GDP is expected to grow by 2.8% this year in Brazil. Consumption, we will again be the protagonist in this economy recovery as well agriculture. We will also count on positive contributions of investments, which are expected to grow after four consecutive years of decreases. I believe that despite of some uncertainty in the external scenario, liquidity and low risk aversion will help to get through of reverses [ph] to emerging economies. And looking at Brazil with inflation, and balanced monetary policy, it will certainly benefit from the reverses [ph]. We have a big infrastructure projects that will probably attract foreign capital. 2018 for us at Banco do Brasil will be market by investments, capital markets, productions and the continued improvement in our relationship with our customers. I do believe that the name of the game will be in 2018 Brazil is - that are - capital market then continues. We do believe in this, because nowadays, we are seeing a movement from the corporate finance to project finance movement from corporate finance to capital market structure as a debt or even the equity operations. With all that in mind, I would like to reinforce to you my commitment to the guidelines that are driving our management, and which I have been emphasizing since I became the CEO. Take care of what matters to our shareholders, clients and employees. Keep working to improve profitability, efficiency, improvement, capital and credit management, quality of the services provided to clients, digital transformation and customer experiences. Another thing that I'd like to reinforce to you is our shares in mid-2016, when we started this project, it was that time 15.49%. Yesterday, we closed our - we reached 42.4%. Nowadays, Banco do Brasil value is around R$118 billion. As I told you yesterday to the news, to the press, we are happy with these results, but we are not satisfied with this result. We believe - we do believe that we can reach much better results in the future. And another thing that we'd like to reinforce to you is relating to our expenses, because our guidance was - from 1% to 4%, but we intend to work hard as we did this in 2017 and try to rebuild this cash [ph]. I'd like to thank you for this moment with you, and thank you for to the shareholders from Banco do Brasil. Thank you so much. I will pass to Daniel Maria. Thank you.
Daniel Alves Maria: Thank you all for attending our fourth quarter 2017 results - financial results conference call. I'd like to start the presentation on Slide 4. On the right-hand side, we point out the strategic foundations that our CEO just pointed out. On the left, we have the highlights for the 2017 results. 2017 adjusted net income grew 54.2% over 2016, driven by the 9% growth in fee income; the strict cost control that resulted in a reduction of 3.1% in administrative expenses; the improvement in credit quality, which results in a decrease of 25.5% in credit provision expenses. As a result, this cost-to-income ratio reached 38.1%, the lowest level in Banco do Brasil's history. The Common Equity Tier 1 rose to 10.5%, the highest level ever reached by the bank, since the implementation of Basel III rules in Brazil. On Slide 5, we bring details of the net income. The R$11 billion in adjusted net income shown in 2017, represents a 54.2% growth over 2016. We also would like to highlight the 82.5% growth in the fourth quarter of 2017 when compared to the same quarter of 2016. As a consequence, the return on equity was 13.6%. Under the commonly used metrics by the market analysts, the return on equity was 12.3%. On Slide 6, we drill the net income down. On the graph at the bottom of the page represents that the NII for 2017 reached R$57.9 billion. The net financial margin which comes after the deduction of R$25.3 billion of allowance for loan losses and expenses reached R$32.6 billion, the highest level value in recent years. The fee income reached almost R$26 billion overcoming the ALL expenses that occurred for the first time since 2016. Administrative expenses were R$31.8 billion. And lastly, the resulting adjusted net income of R$11 billion. On Slide 7, we bring the track record of some market ratios of Banco do Brasil. We've also added to the series the average estimates by analysts for 2018 and 2019 to those metrics. Adjusted earnings per share increased from R$2.57 in 2016 to R$3.97 in 2017, the dividend yields in the fourth quarter 2017 was 3.64%. The price-earnings ratio reached 8.05, and the price-book value ratio was 0.9 in the fourth quarter. On Slide 8, we advance the commercial funding. Commercial funding grew 1.3% in the quarter, reaching R$579.6 billion. We highlight the 5.6% growth in December 2017 over December 2016 of the saving deposits. I point out the stability of the adjusted net loan portfolio to commercial funding ratio, which collaborates that commercial funding has been primarily supporting the loan portfolio. On Slide 9, we have an expanded view of the loan portfolio compared to the previous quarters. In the last quarter, the loan portfolio grew slightly, reaching R$681 billion. On an annual comparison, we have a decrease of 3.8%. It is important to note a change in the mix over the quarters. Agribusiness loans gained relative participation in the total portfolio, moving from 25.4% in December 2016 to 26.7% in December 2017. Loans to individuals accounted for more significant share of the total portfolio, reaching 27.5% in December 2017. On the other hand, the company's portfolio has been reducing. It went from 41.7% in December 2016 to 39.3% in December 2017. On Slide 10, we present the evolution of the graphs, loan disbursement compared to the first quarter 2016 that represents the base of 100. This chart demonstrates the loan origination behavior in Banco do Brasil. We see the disbursements growing in the last quarters. We highlight the disbursement of loans to individuals, which grew 81% in comparison to 2016. The disbursement of loans to agribusiness presented a growth of 11%. Loans to companies presented a 31% increase in disbursements, although the disbursements to companies grew, they were sufficient to offset the amortization and write-offs in the portfolio in the period, what led this portfolio to a lower balance in December 2017. On Page 11, we advanced that individuals loan portfolio is comprised of mainly of lines with a better adjusted risk return. The four credit products shown in this slide represented 76.4% of our organic individuals portfolio. We highlight the payroll portfolio, which grew 7.4% in 2017 with a market share of 21.7%. In 2017, Banco do Brasil disbursed R$38.9 billion in payroll loans, the highest level since 2014. The balance of mortgage portfolio was stable in the year, with a market share for individuals of 7.9%. The salary loan as well as the auto loan portfolios decreased in the last 12 months. We demonstrate on Slide 12 a decrease of 9.3% in 12 months in the companies' portfolio in the expanded view, reaching R$267.4 billion. The credit portfolio to our very small and small companies went down 31.5% in the year, while the portfolio of middle-sized companies, corporates and government reduced 2.5% in the same period. On Slide 13, we have the credit portfolio to agribusiness. The agri portfolio grew 1.2% year-on-year. The agricultural loan grows 6.1% in 12 months, offsetting the decline in the credit to the agro-industrial disbursements for the 12/17, 12/18 harvest plan reached R$41.4 billion, an increase of 12.5% compared to the 2016, 2017 harvest plan. For the 2018/2019 harvest, we have already made available R$12.5 billion to free working capital for input purchase, 15.7% more than the total disbursed for this purpose in the previous crop. Turning to Slide 14, we present the quality of the portfolio. The behavior of the delinquency ratio over 90 days has been showing a downward trend in the last quarters. The pick-up on the delinquency occurred in the second quarter of 2017, and after two consecutive reductions, we ended the period with an indicator of 3.74%, which includes the specific case in the companies' portfolio. Excluding this case, our NPL 90 days would be 3.3% and 32%. On Slide 15, we have the breakdown of delinquency by segment. The companies' portfolio has shown consistent improvements, ending December with NPL of 6.27%. Individuals had a reduction of 13 basis points compared to September 2017, reaching 3.36%, while the agribusiness was 1.67%. We observed that delinquents in the agri portfolio can be explained by weather events observed in some parts of the country associated with the price events that reduced the margins for some procedures. These impacted some changes such as the livestock. On Slide 16, we show the provisions and coverage ratios. The coverage raised or the coverage increased and reached 154.9% at the end of December 2017, with a total provision of R$36.7 billion. At the bottom of the page, we present the provision expenses that in the fourth quarter 2017 was R$5.6 billion, the lowest level for the quarter since the second quarter of 2015. This reflects the better quality of the loan origination. On Slide 17, we present Banco do Brasil's average risk compared to the industry. It reached 5.8% at the end of December while the industry was 6.6%. 91.5% of our loans are rated in the range of - from AA to C. On Slide 18, we bring the NPL formation. The nominal value reached R$5.6 billion, and the indicator on the loan portfolio attained 0.9%, reinforcing the medium-term trend of lower levels of NPL formation, although, some volatility remains, what explains the number compared to the third quarter of 2017. On Slide 19, we present the NPL formation by segment. We have a nominal formation of R$1.5 billion in the individual portfolio that is lower than in the last quarters. For our group agribusiness, was R$0.9 billion and R$3.13 billion in companies, which is lower than what we have been reporting in recent quarters. Those figures show a trend of improvement in the quality of the portfolio. On the Slide 20, we released the restructured overdue credits. Renegotiated transactions in the fourth quarter reached R$3.1 billion. I would like to highlight the amortization of this portfolio, which achieved the highest volume in the history, R$1.5 billion. Important to highlight also is that this amount does not include accrued interest. Furthermore, NPL over 90 days for the portfolio showed the third consecutive drop as a consequence of the coverage reaching 49.2%, the highest value since the second quarter 2015. At the bottom of the slide, we have the NPL formation of the renegotiated loan portfolio, which reached R$1.76 billion in nominal value and a ratio of 6.81% over the portfolio. On Slide 21, the NII results recovery reached R$52.7 billion, a decrease of 3.8% over 2016. As a reference, the average portfolio fell 7.5% in the 2017 showing the effects of margin optimization. On Slide 22, we have the spread analysis. NIM rose in this quarter reaching 4.83%. One of the reasons that expand the increase of - in NIM was due to higher relative participation of the loan portfolio in the earning assets associated to our higher level in recovery. Additionally, the year's performance of financial expenses brought positive impacts in the quarter. The behavior of NIM is highly related to the loan portfolio growth, the reduction of NPL over 60 days and changes in the mix of the portfolio. We believe that those drivers will help to improve the NII and NIM revenue during the second half of 2018, and more intensively in 2019. Detailing the spread by portfolio, the individuals portfolio presented stability with 16.29% in relations to the 16.32% in the previous quarter. The spread of the agri portfolio increased 4.79%, while in the spread of the company's portfolio dropped to 4.96%, mainly impacted by the reduction in exposure to very small and small segments, which presents better relative returns. On Slide 23, we show the fee income. We highlight the 11.7% growth in checking account fees. The increase can be explained by changes in the service of those accounts, allowing the bank to capture cross selling balances. The asset management fees rose 26.5% in 12 months. Moreover, credit fees grew 12.5%. We also would like to point out the 33.3% growth in the 12 months of fee with consortiums. On Slide 24, we show the administrative expenses and cost to income ratio. We can see the improvement of our cost to income ratio, dropping from 39.7% to 38.1%, reaching the best value in the bank's history, as I mentioned previously. The institutional reorganization that we began at the end of 2016 and throughout 2017 has had a positive impact on expenses. We ended 2017 with 99,161 employees, a total of 4,770 branches and 2,033 points of service. On slide 25, we present the progression of Banco do Brasil's BIS ratio in the last quarters. At the end of 2017, BB recorded a total capitalization of 19.6%, the highest level since the implementation of Basel III in Brazil. The common equity Tier 1 was 10.48%, also the highest level. This capitalization level shows the effectiveness of the bank's action to deliver the minimal capital ratio of 9.5% in January 2019, as committed to the markets. I also take the opportunity to reinforce the new targets that our CEO just mentioned to which at least 11% of CET1 in January 2022. This target is included in the bank's capital plan and the declaration of the appetite and risk tolerance. On Slide 26, we simulate the capitalization of the bank with Basel III fully loaded. Anticipating the impacts of capital - on capital resulted in rules that we will still be implemented in the future, with which, a pro forma total BIS ratio of 19.32% against 19.64% observed in December 2017. The pro forma CET1 ratio is 10.17. This exercise demonstrates that we are comfortable that we will be above 9.5% of CET1 capital in January 2019, as commented previously. On Page 27, we bring the observed values compared to the 2017 guidance. We have achieved all the guidance for 2017. The allowance for loan losses expenses and administrative expenses were better than projected, the others were within the range. On Slide 28, we have the guidance for 2018. Adjusted net income for this year is between R$11.5 billion and $$14 billion. NII, net of recovery, minus 5% to 0%. The organic domestic loan portfolio expanded view with the growth in the range 1% to 4%, with individuals portfolio growing from 4% to 7%, as well as the agribusiness portfolio. Companies portfolio with a range between minus 3% and 0%. ALL expenses, net of recovery, we expect to be in the range of R$16 billion to R$19 billion. Fee income growing below inflation - fee income growing above inflation from 4% to 7%. And finally, administrative expenses below inflation, we estimate an increase between 1% to 4% in 2018. Now, we can move to Q&A. Thank you very much.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Tito Labarta from Deutsche Bank.
Tito Labarta: Hi, good morning. Thanks for the call. Thank you, Mr. Caffarelli, also for speaking on the call. Good to hear you. A couple of questions, if you don't mind. First, on your outlook for provisions. Since I understand it's after recoveries and recoveries were about R$5.2 billion in 2017 and R$4.6 billion in 2016. How do you think that's going to evolve this year as that will impact the guidance a bit? So I just want to understand your outlook for recoveries. Also kind of on the back of that because the net interest margin in the quarter went up partially because of the pickup in recoveries, but you also had better funding costs with interest rates still coming down. Do you think you can maybe see continued improvements in funding costs and maybe there'll be some upside on the guidance that you're giving for net interest income? Just want to get a little better understanding on it. Thank you.
Bernardo de Azevedo Silva Rothe: Hi, Tito. It's Silva Rothe speaking. Thank you for the question. First, about the recoveries, if you recall what we mentioned in the previous quarter when we released the results of the previous quarter, recoveries went down in relation to the second quarter. And I mentioned that we have a seasonality in recoveries in Banco do Brasil. Usually second quarter and fourth quarter, we have higher recoveries than in the first and the third quarter. But they're increasing year-over-year. We should expect the same trend next year. So we should have more recoveries in 2018 than what we had in 2017. But the first quarter probably is going to be lower than the fourth quarter of 2017, and that's going to increase again in the second quarter, go down a little bit in the third quarter and go up again in the fourth quarter. Fourth quarter is the strongest quarter for recoveries every year in Banco do Brasil. And just to remind you, we have, nowadays, much more recovered than in the past even though what we have in terms of losses throughout the recession. So there is more to work with to increase recoveries, and that trend should continue next year - this year and next year as well. So that's what you should expect. Again, first quarter, lower than the fourth quarter, but the full year of 2018 higher than 2017. In terms of NII, as I mentioned that we are going to have a lower recovery in the first quarter, expected lower recovery in the first quarter. We have a negative impact in NIMs in the first quarter coming from that. We are still working through the change in mix to avoid impacts from decreasing interest rates and so on, mostly in companies portfolio, where the relationship between Selic and the interest that we charge our clients is much higher. So we're still waiting for the mix to improve that relation to avoid big changes in spreads by segment over time. But the trend is that we may have another cut in Selic rates. That's a possibility of some players in the market are considering for March. But the [folks report] [ph] already consider that Selic rate is going to be stable throughout 2018. So we should have more some kind of stabilization in terms of cost of funding. But at the same time, we should have stabilization in terms of interest rates that we are charging our clients, and any change in the future are going to come through increasing competition. That should happen at some point in the near future, but we assume not seeing that happening at this point in time, okay?
Tito Labarta: Okay. Thanks, Bernardo. That's very clear and very helpful.
Operator: Our next question comes from ‎Felipe Ikari from Itaú BBA.
Felipe Kim Ikari: Hi, good morning. Congratulations on the results and thank you for taking my question. I have one question regarding the 11% Common Equity Tier 1 target for 2022. In your assumptions, do you expect any sale of non-core assets to achieve this target? And could you share with us the assumption of loan growth in these new targets or, at least, if it is considered the growth in line with existing [ph] or not? Thank you.
Paulo Rogério Caffarelli: Okay, Felipe, thank you for your question. Well, our capital plan and the risk assessment state and all the documents - the formal documents of Banco do Brasil, does not include any sale of assets when we build our targets and when we plan what we have to do to reach the targets that we have. So no sale of core or noncore assets is considered in our plans and our budgets and so on, right. So we are going to go through retention of profits, managing the growth of RWAs, growing in lines of credit that consume less capital. Basically, that's what we are going to keep doing. That's what we've been doing for the last three years, and what we are going to keep doing moving forward. The second question is on - sorry, can you repeat the second question?
Felipe Kim Ikari: Yeah, sure. And could you share with us the assumption of loan growth in the new targets or at least, if you're considering that Banco do Brasil is going to grow in line with the system or not?
Paulo Rogério Caffarelli: Okay. For this year, you have the guidance already in place, right. But it's - our guidance a little bit below what should be the credit growth for the whole system. Why we have this lower growth than the system? Because we are going to grow - the lines of credit that you need are the right ones to grow. And we still have a big portion of our portfolio of transactions into long duration and lower profitability than our goals, and we don't want to grow that part of the portfolio, so we are going to grow where we are going to make more money, and we are not going to grow, where profitability is lower than our target. That's why we have a guidance that indicates a growth below, what potentially the system is going to deliver this year. For the following years, we don't have a guidance, yet, but we should be close to the system. We don't see Banco do Brasil growing faster than the system in the next years. We see this process of changing the mix of our portfolio continuing in the next years - in the years ahead of us. Okay. So - but that can be close to the system, but potentially in some parts of the portfolio growing faster than the system. For our business, for example, you should grow in line with the system, because we have already a big market share, so there is no need to improve market share. So we should grow in line with the system. And I think that are not so interesting for us right now, we can grow below the system. So that's overall what we expect for the following years. Okay.
Felipe Kim Ikari: Okay. That's very clear. Thank you.
Operator: [Operator Instructions] Our next question comes from Jorg Friedemann from Citibank.
Jorg Friedemann: Thank you for the opportunity. I'd like to ask a couple of questions. The first one, with regards to your guidance for 2018, I confer that, I had a bit higher hopes in terms of the fee income growth. It is a bit more high than compared to the other private peers that already published their, I know, guidance. So just wondering, where you see this evolving, especially taking into consideration that, as you showed in Slide #23, you have had significant momentum in the checking account fees and in asset management fees. So where do you think, I know, the weakest parts of the lines that compose overall fees that make you a bit more conservative than peers that already published the guidance for fees? And my second question is related to Previ. Previ was running at a deficit, and it's turned for a surplus this quarter, more than R$8.7 billion surplus. So just wondering, if on top of that, what do you see for contributions. At some point, do you think contributions could stop and how much could you save? And whether you see gradually Previ reducing the exposure that they have in terms of equities in Brazil, which is still a substantial part of the total assets? Thank you very much.
Paulo Rogério Caffarelli: Okay. Thank you, Jorg, for the question. In terms of fee income, we grew the fee income business by a lot last year, right. So - and not everything can [indiscernible] the same pace. You can say that we should see more pressure coming from asset management fees, given that the interest rates went down. So that's the natural trend in the industry to shift from high - at a minimum fees, the type of funds to lower ones. So we are not expecting to grow that much in asset management fees in the year. And other lines in the fee income business that should have a - not so good as what we had last year. So that's why we come to you with this guidance, let's say, more than inflation, so it's good but not as good as what we had last year. So - and the difference is not that big, right. In the top of the guidance 7%, we delivered 9%. So we are not that far. But we still have things to do, and we are going to keep working through this process of bringing - serving better clients, and with that, help them, using our products and service and generating more fees and business for Banco do Brasil. In terms of the Previ, as you said Previ now, we have a surplus on our balance sheet and it's going to generate an income on a quarterly basis with two first quarters should be R$116,000, so that's going to impact positively the balance sheet in this manner, first half of 2018. For the second half, we have to wait until the end of the first half to see what's the surplus or deficit in the end to have a new indication of what's the potential positive or negative impact. About how we see contributions to Previ, we're going to keep continue to using the fund that we have in Previ that you can see all the details in Chapter 8 of the MD&A. So we are still using that operational impact, on the cash impact for Banco do Brasil, although it's still an expense. And if you look at the Table 139, the contributions that we are going to, to Plan 1, are lower than what we make just by interest plus inflation over that particular balance that we have to [receive from previous] [ph]. Exposure to equity, very - it's on the news that we have been very verbal about what we are going to do. The plan is mature and there is no - most of the people that's in that plan are already retired, so they have a plan to shift from equity to fixed income, to shift from concentration some of their exposures to diversify the exposure even in equity so that's what they have said already. But it's the long-term plan. It's not a short-term plan. So over time, we should see that exposure to equity decreasing. Again, it's a mature plan, and that's the right thing to do to be able to keep paying the pension they have to pay over time.
Jorg Friedemann: That's perfect. Thank you very much.
Operator: Our next question comes from Carlos Gomez from ‎HSBC Securities.
Carlos Gomez-Lopez: Hello. And thank you for taking another question. Would you like to give some explanation about the tax rate? The previous year, it was as low as 19%. [If you gave] [ph] around 31%. We understand your guidance is between I think it's 30% and 32% for the coming year. How should we model this especially after the tax rate comes down hopefully at the end of this year? Thank you.
Paulo Rogério Caffarelli: Carlos, thank you. Thanks for the question. Tax rate, the tax rates for 2018 should be a little bit higher than 2017. We have changes in our balance sheet that indicates that should happen. But we are keeping our soft guidance for 2018 at the same range that we had for last year. And the soft guidance, once that soft guidance is - you take the entity [ph] before taxes, deduct from that the ex-income and then you apply 30% to 35%. That's what you should have by the end of the year. That's what we have this year, close to the 30% level, then the 35%, which should be a little bit higher than that in 2018. But we are keeping the soft guidance that we had before. In relation to the future, how the tax rates are going to behave next year, it's something very hard to tell you. We have to wait until September to know if we are going to have the reduction in 2018 or if Congress is going to keep the social contribution at the level it is right now. So it's very hard to give you an indication what's going to happen. We have basically two scenarios. The automatically the tax rate, once social contribution rate is going to reduce in the beginning of 2019, but if Congress decides to keep it, they have to make a decision of approving Congress then they can keep for - they can do whatever they want, in fact. But for the social contribution rate should be kept at 20%. We need to have a decision in Congress to do that. That's what I can tell you about 2019. We are working with both scenarios. I can tell you that to have any reduction in taxes is always good, so it will be great for Banco do Brasil as a whole, if the tax rate goes down, but we are prepared to lead with this high level of tax rate that we have already, okay?
Carlos Gomez-Lopez: Thank you very much.
Operator: This concludes today's question-and-answer session. I would like to invite Mr. Daniel Maria to proceed with his closing statements. Please go ahead, sir.
Daniel Alves Maria: I thank you all for the presence in the conference call. And for further questions we are available for discussion. Thank you very much. Have a nice day.
Operator: That does conclude Banco do Brasil conference call for today. As a reminder, the material used in this conference call is available on Banco do Brasil Investor Relations website. Thank you very much for your participation and have a nice day. You may now disconnect.